Operator: Good morning. My name is Sharon and I will be your conference operator today. At this time, I would like to welcome everyone to the Andrew Peller Limited Q1, 2025 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Jennifer Smith, Investor Relations. Please go ahead Ms. Smith.
Jennifer Smith: Thank you, and good morning. Before we begin, this is a reminder that during this conference call, management may make statements containing forward-looking information. This forward-looking information is based on a number of assumptions and is subject to a number of known and unknown risks and uncertainties that could cause actual results to differ materially from those disclosed or implied. Please refer to the Company's earnings release, MD&A, and other security filings for additional information about these assumptions, risks, and uncertainties. I'll now turn things over to Paul Dubkowski, Chief Executive Officer.
Paul Dubkowski: Thank you Jen, and good morning to everyone, on the call. It is great to be here and we do apologize for the slight delay with Cision [ph]. I am very pleased to address you for the first time since, I assumed the role of Chief Executive Officer, last month. At the same time, Patrick O'Brien was named President and Chief Commercial Officer; Unfortunately due to travel delays, Patrick is unable to join us today, but will be on future calls. I am happy today -- to be joined today by Renee Cauchi our Controller. I would like to start by recognizing John, for his over 30 years as CEO. Not only has John been an inspirational leader for our business and our employees, but a committed advocate for the industry and the communities, we operate in. As we outlined in our press release last month, John is continuing to serve the company in a strategic consulting role, remains on the Board of Directors. I'd also like to thank the Board of Directors and the Peller family, for entrusting me with the leadership of the company. As the new CEO, I look forward to building on the company's strong foundation, established over the last 64 years and we'll continue to focus on building a winning team, with a commitment to driving profitability and shareholder value. I will do a review of the financial and operational highlights of the quarter, address other key business matters and then open the call for any questions. Moving on to Q1. I will start by saying like most other businesses, we are operating in a challenging economic period, with elevated interest rates and ongoing stubborn inflation. While conditions are beginning to improve and we expect that to continue over time, we are seeing ongoing pressure on consumers' wallets and some trade down in terms of spend. With that being said, we are pleased to report our operating results were largely consistent year-over-year as is our significant work on cost savings initiatives and operational efficiencies, enabled us to generate solid EBITDA performance through a period of expected softer market conditions. Sales in the first quarter of fiscal 2025, decreased $1 million or 1% year-over-year to $99.5 million. We saw solid performance from sales to provincial liquor boards restaurants and hospitality locations, as well as sales from our personal winemaking business. These results were further supported by the new revised Ontario VQA support program, announced in December 2023 and further explained in our disclosure materials. Offsetting these positive trends, we experienced softness in sales from the estates and wine clubs due to lower guest traffic and reduced consumer discretionary spending, an impact that has been felt across the retail segment and the wine industry. Overall, the breadth of our brand portfolio and sales channels, allowed us to mitigate the impact of these softening conditions and continue to meet the evolving tastes and preferences of our consumers. Through this period, we've been able to achieve above-category performance and improve our market position nationally in both VQA and ICB wines. As an example, we have seen continued strength in our healthier for you on a slot brand, the Zero Sugar offering across several varietals. Our owned imports, under the Neon Coast and Ama Bene brands, have performed well since launch and our domestic VQA sparkling offerings across the Gretzky-Peller and Trius brands are up double digit year-over-year. Moving to margins. Margin in the first quarter of fiscal 2025 ended at $38.2 million, down $849,000 or 2.2% from $39 million in the prior year. Margin as a percentage of sales was 38.4% slightly down compared to the prior year at 38.8%. Margins were impacted by reduced sales in high-margin channels such as, the estates and wine clubs as well as continued cost pressures on raw materials and international freight and shipping charges. These impacts were largely offset by our production efficiency and cost savings programs that were implemented, over the last year and continue. Looking ahead, we are confident these cost savings measures and production efficiency programs, combined with additional reductions in our cost inputs, are sustainable elements that will positively impact our margins in the long term. Selling and administrative expenses landed at $25.3 million for the quarter, down $1 million or 3.8% to the prior year. As a percentage of sales, expenses were 25.5% in the quarter, down from 26.2% in the prior year, primarily due to compensation optimization at our retail stores and estate wineries, and rationalization of marketing spend in line with current market conditions. EBITDA landed at $12.9 million in the quarter up from $12.7 million last year. We are confident that the cost savings and productive labor efficiency work we have undertaken will continue to protect our bottom line results, while we continue to manage the impact of the challenging economic environment. Turning to our balance sheet. At the end of the quarter inventory was $176.5 million versus $192.5 million at the end of fiscal 2024, as we continue our focus on working capital. Total debt was $207.3 million come from $208.3 million at the end of fiscal 2024 and there was capacity in our revolving credit facility of approximately $67 million, with shareholders' equity landing at $5.50 per share. For the quarter, we generated $15.3 million in cash from operations, compared to $13.7 million last year, largely due to improvements in working capital and our net cash debt position improved by $6 million. Moving on to some other business matters. As reported the Okanagan Valley and surrounding areas experienced a significant freeze winter event in January of 2024 in addition, to the winter event in December of 2022 that has resulted in significant crop damage across the valley as reported, which will have an impact on some VQA supply moving forward. As discussed in previous quarters, the industry has continued to work with the British Columbia Ministry of Agriculture and the Ministry of Finance, to develop policies for replacing the 2024 vintage and replanting damaged vineyards to help support the industry long term. At the end of July, the BC government confirmed temporary financial support for wineries bringing in replacement wine to help protect jobs and ensure the BC wine industry remains viable and strong. We have developed several sourcing opportunities to offset the volume shortage and we will be able to use our scale and size to source grapes and/or wine from other regions, including the U.S. and Ontario. Our sourcing plan and the commitment of the government should allow us to keep a largely consistent amount of wine on shelf and mitigate any economic impact. We're also focused on replanting over the next two years in the Okanagan Valley, we expect to receive both insurance and government support to help with the capital cost of the replant program and offset some of the cost of rehabilitating our vineyards. Shifting to the Ontario retail environment. As previously disclosed, the Ontario provincial government has accelerated its plan to expand retail distribution points for the sale of beverage alcohol. As we work with government and industry partners and understanding the full rollout of the program, we continue to be encouraged by the government's efforts to help strengthen and grow the wine industry in Ontario. A focus on a strong and competitive marketplace for Ontario produced and manufactured products will benefit all stakeholders, including the regions and communities we operate in. With the changes currently in progress and expected our team is engaged and committed to ensuring we win in a highly competitive landscape with the increased distribution. Moving on to the recent LCBO strike. As many of you are aware the LCBO was on strike for two weeks in July. As the LCBO is a key distribution partner for us and July is a high-volume period in the summer period, our team critically mobilized to ensure we can meet consumer demands during the strike period. With a focus on increasing shipments and availability of our product at our wine shop stores, and increased availability, through our states and online channels, we are able to meet our consumers' needs and protect the revenue profitability of the business. We will provide more detail when we release our Q2 results. And finally moving on to Port Moody, our development land for Central BC. We continue to work closely with our consulting and real estate partners in the region the goal to sell the property in the next 12 months, while conditions for sale have been challenging, with elevated interest rates and high construction costs, and a changing lower mainland BC real estate environment, the property remains highly valuable and as conditions continue to improve we remain confident in the sale of the property within the timelines noted. Additionally, during the quarter we completed some tax planning initiatives to crystallize a portion of the capital gain in APL on the property to take advantage of the 50% capital gain inclusion rate that has increased to 66.7% in July. We will provide further updates related to Port Moody and update in future quarterly releases. So in summary, I'd like to close by saying that I am energized and motivated as the new CEO of Andrew Peller. We will continue to be adaptable in a changing economic and industry environment. In the near-term, we will remain focused on building market share and protecting growth, continuing our margin recovery, increasing cash generation and lowering our debt levels to create capacity for growth and to drive shareholder value. Our portfolio is well positioned to meet our customers where they want to shop as evidenced by our strong relative performance over the last 12 months. We remain focused on our key brands while also introducing new products within our core wine segment and other growth categories and building on our company's history of innovation. These revenue initiatives in addition to a focus on cost savings and profitability will help drive margin and EBITDA expansion as we move forward. To finish, I'd like to thank our Andrew Peller teammates for their passion and commitment to our customers and our culture. Our success is made possible by their dedication and efforts. Thank you and I'll turn it back to the operator for any questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment please for your first question. First question comes from Megan Bergen with Acumen.
Megan Bergen: Hi there. This is Megan on the line for Nick. We saw that you noted that estate wineries were an area of softness in the quarter. Can you comment on how CapEx has been in the second quarter?
Paul Dubkowski: Yes, happy to, and nice to connect, Megan. Yes, so we have an estate both in the Okanagan and the Niagara region as I assume most people know. I think we are happy to report that we have been seeing some stabilization in the Ontario region in terms of both traffic and spend after some declines last year post the kind of COVID boom of domestic travel. So we have been quite happy with what we've been seeing in Ontario. I'd say, there's still slightly down, but it's largely recovered. And we're optimistic given the size and significance of population and the growth within that two-hour commute of the Niagara region. The West still remains challenged. And so we are seeing kind of high-single-digits, low-double-digits declines in terms of traffic. And that is due to a variety of factors. I mean obviously, there's the residual impact of the fires from last year. There are some travel restrictions in kind of the BC interior. And while it's not impacting Kelowna in where we operate currently, I think it does impact some people's choices to travel to the region. And then I think on top of that, there's obviously the pressures of the economy and less spend in people's wallets. So net-net, we're quite positive on Ontario. We're seeing a nice rebound and we're hoping to continue that momentum. With the Okanagan, it's a little softer than we had hoped and anticipated, but it is such a world-class travel destination from both the domestic and international standpoint. We're confident in the recovery there and it just might kind of blend it over the rest of this year and into the start of next year.
Megan Bergen: Great. Thank you. We also had a question on the Ontario government with the expanded distribution of alcohol starting in the fall. Do you have any additional comments on the rollout of this?
Paul Dubkowski: We're still working through kind of final details. Obviously, this is happening quite quickly. We're very pleased to be working with our industry partners and government, and we can see a true commitment to the Ontario wine industry and growing that industry domestically. So we're positive about the path forward but we're still working through some of those final details, so not only from a rollout standpoint but also from a kind of go-to-market strategy from an organization standpoint. As I mentioned earlier, our internal teams are laser-focused on making sure that we're ready for this rollout that we're at the table as the expansion occurs and that we're able to win in that environment. So we'll be able to provide some further detail as we move forward. But it both represents an opportunity and a challenge given the size and scale of the increase and the speed at which is happening.
Megan Bergen: Okay. Perfect. And my final question is just to deal with Port Moody. Do you have any additional details on that and kind of the plans for the rest of the year?
Paul Dubkowski: No. I mean, I think, I mentioned it in my remarks we're sitting on a great piece of property there a highly valuable piece of property. And it's not core to our operations. So we're in the active stage of looking to sell it and have been for some time now. With interest rates starting to drop it's going to start improving the climate for the sale of that property. Obviously, construction costs remain stubbornly high still. And there is some changes happening in just the kind of real estate policy around the region. So we're working through all of that but we have great partners at the table both from a consulting lens. We've had good interest in the property from developers in the region and we're in active conversations and are still looking to sell the property within the next 12 months as we spoke about.
Megan Bergen: Great. Thank you. Those are all my questions.
Paul Dubkowski: Great. Thank you.
Operator: [Operator Instructions] And we do have a question from Chris [indiscernible] with Dominion Securities. Please go ahead.
Unidentified Analyst: Good morning, gentlemen. Yes. I had question about your accounting any plans to have a little bit more disclosure from an accounting standpoint? Any changes you've got plans for there. Thank you.
Paul Dubkowski: Yes, Chris just confirming because it's a little blurry additional disclosure?
Unidentified Analyst: From -- on your accounting
Paul Dubkowski: Yes. That is something we're looking at. One of the things Renee and I have discussed is the -- just we're constantly reviewing our level of disclosure and ensuring that it meets the needs of our investors and prospective investors. So that is something we're looking at. And generally we make those changes as we approach year end. So we are aware of that. We've had some questions around it and we'll continue to evaluate it.
Unidentified Analyst: Thank you. thanks.
Operator: [Operator Instructions] And we do not have any questions at this time. I will turn the call back over to Mr. Dubkowski for closing comments.
Paul Dubkowski: Thank you. As I mentioned in my remarks, I am extremely excited to be in the CEO Chair here at Andrew Peller. I am surrounded by a fantastic group of teammates that are focused on supporting each other and building shareholder wealth for our shareholders and we're really excited about the future and the rest of the year. So thank you for everybody's time today and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call for today. We thank you for participating and we ask that you please disconnect your lines.